Operator: Good afternoon. My name is Makaya, and I will be your conference operator today. At this time, I would like to welcome everyone to Pursuit's 2025 Third Quarter Earnings Conference Call. [Operator Instructions] Thank you. Carrie Long, you may begin today's conference.
Carrie Long: Good afternoon, and thank you for joining us for Pursuit's 2025 Third Quarter Earnings Conference Call. Our earnings presentation, which we will reference during this call, is available on the Investors section of our website. We encourage investors to monitor the Investors section of our website in addition to our press releases, filings submitted with the SEC and any public conference calls or webcast. During the call, you will hear from David Barry, our President and CEO; and Bo Heitz, our Chief Financial Officer. Today's call will contain forward-looking statements, which are made pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. Please refer to the disclaimer on Page 2 of our presentation for identification of forward-looking statements and for a discussion of risks and other important factors that could cause results to differ from those expressed in such statements. During the call, we will also discuss non-GAAP financial measures. Definitions of these non-GAAP financial measures are provided on Page 3, and reconciliations to the most directly comparable GAAP financial measures are provided in the appendix of the presentation as well as in our earnings release. And now I'd like to turn the call over to David, who will start on Page 4 of our presentation.
David Barry: Thanks, Carrie, and thank you all for joining us as we review our very strong 2025 third quarter results. Let us start by highlighting 4 key achievements that really speak to the strength and momentum of our business. First, we delivered a record-breaking third quarter with significant year-over-year growth that exceeded expectations, all while continuing to deliver incredible experiences for our guests. Second, based on that exceptional performance, we're raising our full year 2025 growth guidance, a reflection of both our year-to-date results and our confidence in what's ahead. Third, we're well positioned to benefit from global consumer demand trends for experiential travel to iconic destinations. That gives us a solid foundation for continued growth in 2026. And fourth, our Refresh, Build, Buy strategy continues to deliver. It's fueling growth and enhancing our collection of irreplaceable assets, backed by a meaningful pipeline of investment opportunities and a strong balance sheet that gives us flexibility to accelerate. So let's review our record third quarter results and improved full year 2025 outlook on Page 6. During the quarter, our dedicated team delivered extraordinary experiences to approximately 2 million attraction visitors and welcome lodging guests across nearly 200,000 room nights. We delivered revenue growth across all geographies, including a strong recovery in Jasper following last year's wildfires. Total revenue for the quarter reached $241 million, which is up 32% year-over-year. Our adjusted EBITDA margin expanded to 49%, reflecting the scalable nature of our business with strong demand for our incredible attractions and unique lodging properties and our diligent ongoing management of costs. Our strong team member engagement, our relentless focus on elevating the guest journey and the perennial demand for our iconic experiences and destinations continue to differentiate Pursuit, and that's driving sustained momentum and reinforcing our long-term growth. With our exceptional third quarter results, we're raising our full year 2025 adjusted EBITDA guidance by $6 million at the midpoint as opposed to our prior guidance range. We now expect full year 2025 adjusted EBITDA to be in the range of $116 million to $122 million. Now let's dive in on Page 7 with a reminder of what makes Pursuit a powerful and differentiated growth engine. Pursuit's success is anchored in a guest-obsessed experience-driven hospitality-focused culture, that's paired with authentic one-of-a-kind experiences. Our unique offering of must-do sightseeing attractions for all ages and skill levels and our distinctive lodging and iconic destinations with limited supply and high barriers to entry gives us a strong foundation for enduring success. Guided by our proven Refresh, Build, Buy strategy, we continue to scale our collections of irreplaceable experiences with growth and the guest experience in mind, anchored by focused capital allocation and discipline. Since 2015, we've nearly quadrupled revenue expanding across 4 countries. We've grown from 4 world-class attractions to 17 and from 12 lodges to 29. This is a testament to the power of our strategy and the timeless allure of experiential travel, which we believe will continue benefiting us long into the future. As shown on Page 8, our Refresh, Build, Buy growth strategy is anchored in 2 important growth levers that drive long-term value creation. Our first growth lever is delivering organic growth through refresh and build investments; and the second is to buy one-of-a-kind forever businesses that fit our strategy. We actively maintain a robust pipeline of opportunities across both levers, backed by our strong financial and operational capacity. With ample liquidity and low leverage, we're able to invest across a spectrum of high-return opportunities. On the organic growth front, we've identified over $250 million in refresh and build opportunities over the next 6 years, including an expected $38 million to $43 million in 2025. These targeted investments elevate the quality of our existing assets, they enhance the guest and team member experience and they unlock new revenue streams in our iconic destinations. We view these investments as among our most efficient uses of capital by raising asset quality, elevating the guest experience and improving financial performance, we deliver high returns, and we drive long-term value. Our buy acquisition strategy complements this by targeting irreplaceable attraction and hospitality businesses in both existing markets and new markets that have perennial demand, limited supply and high barriers to entry. We focus on businesses that deliver attractive EBITDA margins, operate in countries with strong ease of doing business and exceed the 15% IRR hurdle rate that our growth investments need to deliver. This disciplined approach ensures that we continue to scale with purpose by investing in unforgettable experiences that inspire our guests and deliver sustainable returns. Page 9 provides some visibility into our significant refresh and build pipeline, which represents a compelling set of organic growth opportunities through 2030. In 2025 and '26, we're advancing 2 large-scale multiyear lodging refresh projects. At our Forest Park Hotel in Jasper National Park, we are in our second phase of a full refresh of the Woodland Wing with upgrades to guest rooms, corridors, the exterior facade, lobby and atrium, conference spaces, food and beverage areas. And this first phase of room renovations was complete for the 2025 peak third quarter and the elevated guest experience captured a 22% increase in ADR compared to the non-renovated rooms. At our Grouse Mountain Lodge in Whitefish, Montana, near Glacier National Park, we're underway with the first phase of a full refresh of that property. Ahead of the 2026 peak summer season, we plan to have renovated the South Wing guestrooms and pool area. We're also building a new 8,250 square foot wedding and event pavilion to support the group and leisure demand, which will open later in 2026. These projects will transform and reposition these year-round lodges to better meet the expectations of mass affluent leisure travelers as well as support higher ADRs and attraction visitation. And our phased approach to renovation with construction taking place primarily during the seasonally slower fourth and first quarters allows us to minimize disruption during our busy summer months. So as we look further ahead, we have a robust pipeline of potential refresh and build projects presently in the planning stage to drive incremental capacity and yield opportunities in high-demand markets. And key examples include Jasper SkyTram investments to introduce a new lift and reimagine terminal buildings to deliver a more elevated guest experience; a refresh of the Banff Gondola and Banff National Park with a new lift and experiential enhancements to further differentiate this iconic attraction, investments at Apgar Village in Glacier National Park aimed at improving and maximizing lodging capacity to meet growing demand for this very special place. And then finally, investments in the Denali Backcountry Adventure focused on elevating and reimagining the guided journey deep into Denali National Park when the Denali Park Road reopens in 2027 and a series of additional lodge refreshes focused on transforming and repositioning properties to align with market demand. These investments reflect our commitment to enhancing the quality and appeal of our experiences, while positioning our portfolio for sustained growth and profitability. We plan to provide more details on our 2026 capital plans in February '26 and expect growth capital investments over the next 2 years at increased levels relative to 2025, primarily driven by planned large-scale refresh and build investments in the new Jasper SkyTram attraction, Forest Park Hotel Woodland Wing and Grouse Mountain Lodge subject to approvals. And while these investments take multiple years to complete, they will help propel our growth beyond 2026. Now on Page 10, let's revisit our recent acquisition of Tabacon completed at the beginning of the third quarter. which exemplifies the kind of high-quality buy opportunities we're pursuing to drive long-term growth. Tabacon is a world-class destination resort and attraction in one of Costa Rica's most iconic travel regions. Nestled at the base of the Arenal volcano and adjacent to protected rainforest, Tabacon offers exclusive access to the country's largest network of naturally flowing hot springs. It is truly unique with 2 distinct thermal river attractions paired with a luxury 105-room resort, renowned spa, signature culinary experiences and 570 acres of beautiful terrain. Tabacon is profitable 10 months of the year with full year hotel occupancy exceeding 80% and provides a positive EBITDA contribution during periods that are seasonally slower for our Canadian and U.S. businesses. The renowned Tabacon Thermal River attraction offers a premium experience for both hotel guests and day visitors. And in March of '24, Tabacon opened a second Thermal River attraction, Hot Springs Pura Vida, designed to serve more budget-conscious guests. Both attractions are open to day use guests, serving a broad range of visitors and driving incremental revenue. Through its inclusion in the Small Luxury Hotels of the World portfolio, Tabacon is accessible to Hilton Honors members, which expands its global reach and visibility among high-value travelers. This strategic affiliation enhances the resort's positioning in the luxury market, drives incremental demand from a loyal and affluent customer base and strengthens its competitive advantage within the premium hospitality segment. Tabacon is led by an exceptional local leadership team with deep roots in Costa Rica and a proven track record, this team has built a reputation for delivering best-in-class hospitality and driving sustained growth. Culturally, Tabacon is a perfect fit with Pursuit in all aspects, including the team's growth mindset and restless focus on making experiences better. As one small tangible example, the team is underway with rebranding the new Thermal River experience from its initial [ brand ] Choyin to the more compelling brand of Hot Springs Pura Vida based on learnings and feedback across key stakeholders. And we're actively collaborating on exciting future growth opportunities. We see a clear path to near-term upside through targeted operational enhancements and the full ramp-up of Hot Springs Pura Vida. And also, with strong demand and ample Hot Springs capacity, we expect to drive Tabacon's adjusted EBITDA multiple below 9x by year 3. Beyond these operational gains, we're actively exploring refresh and build opportunities across the 570 acres of acquired terrain as well as buy opportunities to expand our presence in Costa Rica with additional high-quality attractions and hospitality assets at attractive valuations. We see the potential to build a world-class collection of nature-based experiences in Costa Rica. Across Pursuit, we're not just focused on the next quarter. We're focused on the next decade, and we're confident that the choices we're making today will drive long-term value for our guests, our teams and our shareholders. Next, on Page 11, we provide some initial insights into our indicators for next year. We believe we're well positioned for continued growth in 2026, supported by favorable secular trends, sustained demand for our destinations and solid business fundamentals. Across generations, we continue to see a shift toward experience-driven travel with increasing demand for adventure, wellness and immersive exploration, all areas where we're strongly positioned to capture growth with our differentiated and authentic guest experiences in iconic locations. Our travel destinations from Banff and Jasper to Costa Rica have perennial demand and continue to attract strong visitation. In Canada, we expect another standout year for travel in 2026, supported by favorable foreign exchange rates, unique geopolitical trends and the recently renewed free admission to Canadian national parks in 2026. Our global network of tour and travel partners spanning over 80 countries are signaling strong demand for the 2026 itineraries. This early indicator reflects the appeal of our offerings and the strength of our diversified market reach. And at the heart of our success is a relentless focus on growth and elevating the guest and team member experience. And it's with this mindset that we're confident in our ability to harness these tailwinds and deliver exceptional performance in the years to come. And now I'll turn it over to Bo to review our 2025 financial results and outlook in more detail.
Michael Heitz: Thanks, David. I'll start on Page 13 with our third quarter financial highlights. As David mentioned, this was a phenomenal quarter with record results that exceeded our expectations, particularly in August through the remainder of the core summer season as visitation to our markets accelerated. The team managed extremely well to harness this demand, drive the power of flow-through and deliver outsized results. We delivered revenue of $241 million in the third quarter, which was up approximately $59 million or 32% year-over-year. This growth was primarily driven by a strong recovery across our Jasper properties that were temporarily closed during the 2024 third quarter due to wildfire activity as well as by incremental growth from our new experiences and continued momentum in overall guest demand for our distinctive existing experiences in iconic places. Excluding our Jasper properties and new experiences that were not operated by Pursuit for the entirety of 2025 and 2024, our third quarter revenue increased $17.7 million or 12% from strong yield optimization and visitation across our geographies. We delivered revenue growth across all geographies, with particular strength across our Canadian operations and at Sky Lagoon, supported by continued global secular trends, our differentiated businesses and our passion for delivering incredible experiences for our guests. In addition to broad demand, Mother Nature was also on our side this season with minimal impacts to our operations from inclement weather and smoke as compared to typical years. Net income attributable to Pursuit, which is inclusive of discontinued operations, was $73.9 million as compared to $48.6 million in the prior year. Our income from continuing operations attributable to Pursuit was $76.7 million, up $33.4 million compared to the prior year. During the 2025 third quarter, we reported a pretax gain of $4.2 million from business interruption insurance proceeds received related to lost profits in 2024 from the Jasper wildfire. This brings our total insurance proceeds received since the 2024 wildfire to $23.7 million. We continue to work with our insurance carriers on additional potential recoveries. Our adjusted net income, which excludes results of discontinued operations and other nonrecurring income or expenses, including the business interruption insurance proceeds gain was $75.3 million as compared to $50.7 million in the prior year. The year-over-year growth of $24.6 million primarily reflects higher adjusted EBITDA, partially offset by increases in income tax expense and income attributable to noncontrolling interest. Adjusted EBITDA increased by $34.4 million or 41.5% year-over-year to $117.4 million, primarily driven by significant revenue growth with strong margin flow-through, supported by operating leverage in the business and continued cost discipline. Turning to our strong balance sheet highlights on Page 14. Pursuit continues to have ample liquidity and low net leverage to support accelerated growth. As of September 30th, 2025, we had total liquidity of $274.4 million, including $33.8 million in cash and cash equivalents and $240.6 million of available capacity on our revolving credit facility. In September, we expanded our revolver by $100 million to a total of $300 million. We also added Tabacon as a co-borrower and extended its maturity to September 2030, enhancing our financial flexibility to capitalize on strategic growth opportunities. Also in September, we acquired the remaining 20% minority interest in Glacier Park, Inc. for $13 million, securing full ownership of this high-performing subsidiary. This move simplified our capital structure, eliminated a $22 million noncontrolling interest liability and reinforces our commitment to growing iconic experiences-driven assets with long-term potential. At the end of the quarter, our total debt was $129.8 million, and our net leverage ratio stood at 0.7x, comfortably below our target range of 2.5x to 3.5x. Now let's look at our third quarter attractions performance on Page 15. Attraction ticket revenue reached $100.4 million, reflecting a 33% year-over-year increase driven by substantially higher visitors and effective ticket prices. Visitors increased 22% year-over-year due to a strong Jasper recovery, new attractions and overall robust demand for our one-of-a-kind sightseeing attractions with a 4% increase in same-store visitors. Same-store constant currency effective ticket pricing, which excludes our Jasper properties temporarily closed in the prior year and new attractions, grew by 9% compared to '24. This improvement was enabled by our focus on guest experience with particularly strong performance from Sky Lagoon and our Canadian attractions in Banff and Golden. Sky Lagoon continues to deliver strong growth in effective ticket price, primarily fueled by the expansion of the premium ritual experience, which was completed in August 2024. Next, let's turn to our third quarter hospitality performance on Page 16. Lodging room revenue totaled $59.7 million, reflecting a 42% year-over-year increase driven by a strong Jasper recovery, new lodging and improvement in same-store ADR and occupancy. All of our collections delivered growth in room revenue during the quarter. Same-store constant currency RevPAR, which excludes our Jasper properties temporarily closed in the prior year and new lodging, grew 6% as compared to 2024. Our lodging properties are located in iconic, high-demand experiential travel destinations, offering guests direct access to some of the most breathtaking natural settings, including at nearby Pursuit sightseeing attractions. These markets benefit from strong compression dynamics supporting both premium pricing and high occupancy. Let's turn to our 2025 outlook on Page 17. As David mentioned earlier, based on continued demand for our authentic experiences and stronger-than-expected results for the third quarter of 2025, we are raising our full year 2025 guidance. We now expect full year adjusted EBITDA of $116 million to $122 million, which is an increase of $6 million at the midpoint relative to our prior guidance range of $108 million to $118 million. This new guidance range represents substantial adjusted EBITDA growth of $39 million to $45 million relative to 2024. This significant year-over-year growth reflects our strength of execution, continued strong demand and the recovery of leisure travel to Jasper, in addition to contributions from our recent acquisitions. With the strong rebound in Jasper, our continued relentless focus on delivering exceptional guest experiences and the strength of our balance sheet, we are well positioned to drive sustained growth and strategically invest in high-return refresh, build, buy opportunities. And with that, I'll turn it back to David.
David Barry: Thank you, Bo. So just in closing, I'd like to express my sincere appreciation to our team members for their passion, their dedication and their growth mindset. Their restless positive energy and commitment to excellence continue to drive exceptional guest experiences and our overall success. To our shareholders, thank you for your ongoing support of Pursuit. We're energized by the opportunities ahead, and we remain focused on executing our growth strategy to create long-term value. Let's open up the line for questions.
Operator: [Operator Instructions] Your first question comes from the line of Tyler Batory with Oppenheimer.
Tyler Batory: Congrats on the strong results here. First one for me, maybe more housekeeping on results and guidance. Can you talk about the insurance proceeds in the quarter? Were those contemplated when you provided the original EBITDA guide, that $4.2 million that you cited in the investor presentation? And then can you also talk about FX, please, too? I'm not sure if that was a tailwind or a headwind in the quarter? And just how is foreign exchange movements impacting guidance for the full year?
David Barry: Yes. Sure, Tyler. Happy to take those. So on the insurance proceeds, just to reiterate, we've now received $24 million in insurance proceeds in totality, $13 million of that was last year and about little under $11 million of that was in 2025. As you noted, for Q3, there was about $4.2 million of that in the business interruption recoveries bucket of that. Importantly, we're treating that outside of adjusted EBITDA given the nonrecurring nature of it. So it was never in our adjusted EBITDA guidance, and it's not in there today either. On the FX side of it, it wasn't a big driver for the quarter. And frankly, for the whole year, relative to last year is not a major driver. We did have some movements from where we started the year from an FX perspective, but that really reversed itself heading into Q2 results. So pretty neutral on the whole year. And with only a couple of months to go of not really peak operating period, it's not a huge sensitivity to that for the remainder of the year here.
Tyler Batory: Okay. I appreciate the clarification on that. And then I wanted to double-click on something that we talked about last quarter in terms of ETP. And I mean, look, the same-store visitation in the mid-single digits has been very strong, but the ETP has been even stronger. And I'm curious if you can just unpack that a little bit more. How much is mix? How much is outright price increases? And when you think about the strong ETP growth you've seen this year, does that create a situation perhaps where there's some difficult comps for you in 2026?
David Barry: Yes. I think first, I would say, Tyler, that one of the important factors is that any growth in ETP is a combination of several things. Yes, you've got some price increases. You've also got the tenant itself, the impact of the type of visitor, filling white space. There's a whole variety of different factors that help drive the effective ticket price. And we do have a view to the future in '26, and we have a sense of confidence, meaning that the trends are on our side. We see continued energy around the growth in experiential travel that connects in with iconic locations. We think that Canada and its position is going to continue to be strong as we look at growth coming. We have the strength of the business that prepared itself and adapted quickly. And just being, I think, alert and anticipating is part of how we were able to drive such a strong increase in effective ticket price. And Bo, jump in if I missed anything there.
Michael Heitz: Yes. I think that's all true holistically. If I were to point to any particular outliers of strength this quarter, I'd probably put top of list, Sky Lagoon and Golden Skybridge as well as the Banff Gondola. Some of those are areas, where we've had recent investment that helps support the incremental yield and some of that is the continued efforts that David alluded to, all of which I think sets us up as the right baseline to build off of for next year.
David Barry: Yes. Great example with Sky Lagoon. Remember, one of the choke points at Sky was the way that the ritual experience worked was that originally, we had undersized that when we had created Sky. So the investment that we made in '24 set us up really well for '25. And so we were able to, just as a reminder, take some of the lower-tier products and basically, they disappeared off the price list and everyone is just entering and visiting for the first time, purchasing the full ritual, the skill experience and really enjoying it. And that led to a couple of things: one, growth in ETP, but also growth in guest satisfaction, which is what we're looking for.
Tyler Batory: Okay. Last one for me, just a couple on the Tabacon acquisition. What was the EBITDA and revenue contribution from that in Q3? And just remind us again in terms of seasonality, how that flows throughout the year? And can you also just touch on integration, bringing that under the fold here and just kind of how that's gone?
David Barry: I'll take the integration part, then we could talk about some of the other things. So I have a good story for you, Tyler. The team, Andrey Gomez and the team, they are obviously in the geothermal attraction -- water attraction business with 2 geothermal attractions at Tabacon. They recently visited Sky Lagoon. And so you would think where are the parallels there? Why would a team from Costa Rica go to Iceland to visit another geothermal attraction. We think there's a lot of learning in between those 2 locations. So from an integration standpoint, that was one of the first things we wanted to do. And just on a personal level, I'll share that Andrey Gomez saw snow fall for the very first time in his life and a few snowflakes. On the first day he was visiting, everybody went to sleep, a little jet lag. They woke up the next morning to 30 centimeters. So for those of you that don't speak metric, that's well over a foot of snow. And they had a fantastic day in Iceland benchmarking Sky Lagoon and having some learning going mutually back and forth between the Sky team and the team at [indiscernible ]. And then at night, the Northern Lights came out. So a pretty fantastic experience. And so integration is going well. They have lots of really interesting growth ideas into the future. There's a high level of occupancy in that property. And so we're working on the planning of some concepts. We have 570 acres of terrain that we can expand upon. One of the prototypes we're working on is more of a luxury villa product that maybe 2 couples or a larger family would use. And so we're going to be testing those. We're modeling them out in terms of how we might construct them, but those are some of the growth opportunities we're excited for. Integration is going really well. Team is fantastic, a ton of great energy. Bo, over to you.
Michael Heitz: Yes. And going back to part of your question on the financial component of this, Tabacon benefits from being much more of a year-round operation for us. It's profitable 10 months out of the year. From a seasonality perspective, I'd say the biggest quarter for them would be in Q1. Q4 is also a pretty strong quarter, but broadly, the rest really spreads out across the year. What we noted at the -- when we first closed on the acquisition was an expectation for about $3 million of EBITDA impact in the second half of 2025 and about a 10-year full year -- or sorry, $10 million of EBITDA full year impact. So another $7 million coming when you annualize that into next year. Generally, that's all performing really well for the first couple of months here. We do disclose from a revenue perspective, it's about $6.3 million of revenue in Q3, and we'll continue to break that out as we get into future quarters here.
Operator: The next question comes from the line of Alex Fuhrman with Lucid Capital Markets.
Alex Fuhrman: Congratulations on a really nice summer season. David, it sounds like you're targeting increased growth CapEx levels for the next couple of years. You mentioned a couple of specific hotel projects. Is it really just those couple of refreshes that are driving it? Would you say there's anything you're seeing that's maybe driving you to see maybe perhaps more than the $200 million of CapEx projects than you've talked about a little while ago?
David Barry: Yes. You'll noticed in the investor presentation, firstly, as we think of organic and build within our existing businesses, we've increased that amount with our view over the next 6 years that, that amount is closer to $250 million, which are all terrific opportunities within the 4 walls of our existing businesses. So well-established businesses with really great operating teams, places that we know and we have great confidence. So those investments are among some of our most powerful, and we're able to accelerate those or control those depending on what's happening on the pipeline side. For 2025, we're investing between $38 million and $43 million into those projects. Our opportunities into the future, we'll be talking about in February of '26. But the ones that we mentioned are all ones that are heavily into planning. Jasper SkyTram is in a public commentary period now. We're working on the Banff Gondola, Apgar Village. And also, for those that have been around Pursuit over the last decade, you may recall a terrific business called the Denali Backcountry Adventure, which was a wildlife safari that took guests into Denali National Park. And for those unfamiliar with Denali, it's not a park you can drive into. You have to travel with an outfitter. So that's a terrific business that as the National Park Road comes back online, which they're targeting '26 for the trade and then '27 for the public, that's an example of the kind of investment that we'll be looking at. But we have plans that, again, reflect opportunity across a broad swath of the business, and we're prepared to certainly work hard to take advantage of those.
Alex Fuhrman: And then that 9% increase in ticket prices on a same-store basis, that's obviously a really big number. Were there any particular attractions or collections that were driving it? And just ballpark big picture, can you give us a sense of to what extent that's on par with just how much attraction prices were going up with your competitors in your markets?
David Barry: I'll start first with the team. I think the team globally across Pursuit was well positioned to be anticipatory to -- as demand increased to be ready to adjust to the demand. So that might be managing inventory in terms of providing availability. It might be adjusting a price. or simply adjusting the scale of an operation from, say, a labor standpoint or extending hours or any of those things that help drive overall performance. I would say everyone across all of the businesses performed really well. Obviously, there are some strong -- really strong performance across the Canadian Rockies, strong performance at Sky Lagoon, good performance in Alaska. And so just overall, everybody performed really well. As to our competitors, I think that with increased demand comes increased participation from guests from all over the world. And I think everyone benefits. So we tend not to look so much at what our competitors are doing, but we're more focused on what we're doing and how do we make experiences better and then charge more for them.
Operator: [Operator Instructions] The next question is from the line of Eric Des Lauriers with Craig-Hallum Capital Group.
Eric Des Lauriers: Congrats on a very strong Q3 here. Most of my questions here are going to focus around timing. I just kind of want to [Technical Difficulty] expectations and understand how you guys are thinking about it. So [Technical Difficulty] first with Forest Park Hotel and then -- Grouse Mountain Lodge. You called out second phase of Forest Park to be completed in '26, first phase of [ Green] (sic) [ Grouse ] Mountain completed in '26 as well. How many phases are currently anticipated for each of these? And how should we think about potential timing of future phases? And ultimately, when should these 2 projects be completed?
David Barry: Yes. Great question. So I'll jump in. On -- if you think of Forest Park and the Woodland Wing, remember, we built the Alpine Wing in 2022. We renovated half of the Woodland Wing in 2025. And then we're underway on the renovation of the existing section of the hotel. So those things are happening now. And the goal is obviously to get things completed and ready as soon as we can into '26. And so that will take several months and through the beginning of the year and then with a plan, obviously, to be ready to reopen as soon as we can as close to the summer season. The same thing applies in terms of Grouse Mountain Lodge, the hotel for those that have been there, it's a beautiful property, really beautiful location. There's 2 sections with front desk and food and beverage facilities in the middle. So we're working on one wing, while we operate one wing and then we'll switch out. And so the benefit there is that we're able to keep the property open and keep hosting guests through this period and just manage these selective closures to be the most efficient with the business.
Eric Des Lauriers: Okay. So it sounds like at least at Forest Park, excluding the Alpine Wing, just 2 phases. The second one is already underway. And then Grouse Mountain, it sounds like first phase is underway and should just be 2 phases potentially completed in '26. Do I have that roughly correct here?
David Barry: The Grouse Mountain Lodge, the second phase will start after the summer season, and it will roll into '27. And one of the things I would be remiss in not mentioning is that we're also building a really beautiful event and attraction pavilion. We think we've got a real opportunity that the competition in the wedding space in Northern Montana, we think we've got an opportunity to really differentiate ourselves there for special events and weddings and occasions, and that drives hotel occupancy. It drives attraction visitation and the location in Whitefish is ideal. So we're building, I think, a really beautiful venue that will be very connected and I think just the best of what's available in Northern Montana. So we're excited about that.
Michael Heitz: And then maybe just to make sure we're thinking about from a capital outlay perspective, there's also Jasper SkyTram that we've been talking about that is another meaningful multiyear project that we're underway on.
Eric Des Lauriers: Yes. That was actually my follow-up here was just any commentary. understood this is -- Jasper SkyTram is a multiyear project. Just any sense, could this be completed like this is '27, '28, '29, '30? Just can you just kind of help level set it for everyone on the line here just in terms of timing for Jasper SkyTram? And understood that there's a lot of moving parts here and things can move one way or the other. But at least from my perspective, I'm not sure if this is like '27 or '29. So if you could just help us out with that, I'm sure that would be helpful.
David Barry: Yes. I appreciate the moving parts comment you made because that's exactly how it feels. We're in a public commentary process now with Parks Canada. Everything is going well. We're working on the planning. So again, we'll be in a better position in February to give you a sense of timing. And so just at this point, we're still working our way through the preliminary part of the process, but definitely it's something that we're targeting to begin in '26 and go from there. So as to exact timing, stay tuned for February, and we'll be able to fill you in.
Eric Des Lauriers: Great. I look forward to that. Just last question for me here, kind of high level. So obviously, you have a lot of very significant investment opportunities before you, both organically and M&A. You've cited the financial flexibility you have. You just completed a transformational acquisition with Tabacon. Just wondering if you could comment on capacity to take on more transformational investments or acquisitions from a management bandwidth perspective. Just wondering how full your plate is right now with integrating Tabacon and what kind of internal bandwidth you potentially have to take on another transformational opportunity here?
David Barry: You bet. Thanks, Eric. I think there's 2 things to consider, and I'll ask Bo to speak to the financial capacity, but I'll start with our own internal capacity from a leadership standpoint. This is a great team. This is a great team with capacity. It's a strong team. It has the ability, the wherewithal and the energy to do more than one thing at the same time. And also, what's important to know is that our financial systems are already primarily fully integrated with Tabacon. And we're not trying to control and dominate in each location. We're really trying to build with the team that's in place keen to deliver really authentic hospitality, while being part of something that is a powerful network of great hospitality leaders so they can deliver authentic hospitality. So the team in Costa Rica is going to be leading and helping us grow the collection within the whole Costa Rican environment. The team in Western Canada who -- when you meet them, one of the things you realize right away is there's a tremendous capacity for growth. And I would say the same in Montana, the same in Alaska and across all of Pursuit. So there's a lot of bandwidth internally. We've got the runway for it from an expertise and time and energy, and I'll let Bo speak to our capacity financially.
Michael Heitz: Yes. And fortunately, we're in a spot from a financial capacity as well with that to be opportunistic here. I mean, our current net leverage is around 0.7x. What we've talked about is we have a target longer-term range of 2.5x to 3.5x on that. Within that today, we have almost $275 million of liquidity available. So the flexibility is there from a financial perspective and from an operating perspective, and now it's about being opportunistic with the pipeline as we work through that.
Operator: Our next question comes from the line of Jeff Stantial with Stifel.
Jeffrey Stantial: Congrats on a strong quarter. Maybe starting off, David, apologies if I missed this earlier. Can you just remind us at this point in the year, typically, how far booked you are for 2026? And then as a corollary to that, are you seeing any interesting or discernible trends year-on-year, specifically, we obviously continue to see a bit more delayed behavior elsewhere in leisure. Are you seeing any evidence of that this far out or anything else that's worth calling out?
David Barry: Yes. What I see, Jeff, and thank you for the question. What I see is positivity and -- but important to remember, it's early days. And so, we have quite strong tour and travel demand coming from our tour and travel partners all over the world. So those indicators show strong demand for 2026 and those itineraries. Our early booking pace for 2026 is ahead of prior years. We are experiencing what we would describe as this continued tailwind and the drive into adventure, experiential, wellness, leisure travel in our types of activities and destinations. You can see through the national park visitation over this summer that there was strong growth. It came in an interesting wave. And in July, we were running pretty even to the first expectation and then there was an acceleration through August and September, just in overall demand. Also a reminder, we work and live in powerful, big, beautiful places, where weather can be a factor. So when we think about '26, one of the things to just remind ourselves of is that in 2025, we had very minimal disruptions with weather or -- and you can have a forest fire that's 2,000 miles away, but it blows smoke into a particular geography for a couple of days, and that can affect visitation. So in '25, it was pretty smooth sailing. We always plan though, for disruption and then manage around that. And then we know that we're going to have some impact from some of the closures on our capital projects, certain wings of hotel shutdown, while we're opening things and rebuilding things. But those are temporal. They go quickly and then we're back in operation. So positivity for '26, we're still working on our plan. We'll be coming out with guidance in February and be able to articulate, I think, a more clear picture of exactly where we're headed. But yes, we're looking at positivity from this standpoint. And Bo, jump in if I missed anything.
Michael Heitz: No, I think that's all the highlights, Jeff. I mean, on your specific question, it's pretty early days on the actual booking pacing. It's certainly relevant enough that we're speaking to it, but there's a lot of time left to go, and we'll have better color on that in February as well as it starts to evolve. The tour and travel partners piece is always a helpful indicator in the meantime where it's demand for taking allocations of rooms that they're then working to sell from there. But you can get a good sense for how much demand there is in that market from what they're seeing from their extended market.
Jeffrey Stantial: That's great. And then maybe hanging on one thing you said there with regards to weather. David, could you just update us on some of the progress that's gone on in terms of reopening some of the hotel inventory in Jasper that was unfortunately impacted by the wildfire. And then just as more and more of these rooms come back online, whether that's next year or the following, is your current expectation that this will be net dilutive to your business in the market given the additional competitive supply or actually potentially net accretive just given rising tide, more foot traffic benefiting the broader market, those kind of things?
David Barry: Yes, the latter. I really do believe that as our friends and neighbors rebuild their businesses and Jasper overall quality of lodging improves, that, that will have a rising tide effect on everything at Jasper. Interesting, Jasper this summer got to the same levels as 2023. And so overall visitation to Jasper National Park quickly recovered, and it happened a little bit later than we originally anticipated, but came on strong in August and September. In Jasper itself, it's very heartening to see that some of our neighbors have got foundations in the ground. They're beginning the reconstruction of their facilities. I don't expect anything will open in '26. It's more of a late '27 as these are complete rebuilds from the ground up, but encouraged by what's happening. And I think just all of us should be impressed with the spirit and energy in the community of Jasper, the Mayor and Parks Canada, they've done a terrific job.
Jeffrey Stantial: That's really great to hear. And then one more question, just -- and apologies for this, it's going to be a really high-level one. But sort of circling back around to the effective ticket price performance this quarter, last quarter and for many years now, maybe we talked a lot about the pricing power. Obviously, a lot of pricing growth is driven more by improvements to the actual experience and guest satisfaction, whether that's from actual CapEx dollars or just more kind of iterative adjustments, more hours, different aspects of the experience, things of that nature. But I'm curious, strategically, how much do you think about maybe the flip side of this, which is more of that notion of sort of affordability for the guest and the importance of keeping the value proposition for a park visit compelling versus other vacation alternatives maybe it's another way to look at this, like if you look at really the comparable set here, how is that value proposition, how do you see peers, comps, et cetera, pricing relative to your pricing? And how much does that factor into your decision-making? And I realize that was kind of long-winded and maybe a little meandering, but let me know if that makes sense the way I framed it.
David Barry: No. No, it's a great question. So where we start is we start with experience. And I get asked, I think, every earnings call, are you going to continue to take price and where does that lead? I think the stronger question is, are you going to continue to improve experiences? And the answer is yes. And so, an example at the Banff Gondola, where you might have argued, well, we're already at capacity and things are going well. One of the things the team did this summer was they revived a sunset program. And if you're familiar with the Bow Valley, if you're in the valley floor, you can't really see the sunset. So there's a great experience that you travel at the gondola and all of a sudden, the hours of the gondola's vitality are extended because there's programming that encourages you to come and see a sunset. And the views of that sunset from altitude are incredible. And so, there's an example of you really work on a product, you really work on an experience, you deliver it really well to guests and then that drives a business outcome. And so everywhere we look, we look for opportunities in a time of day, and we price dynamically so that if you are a more budget-conscious traveler, you've got windows in a week that are very transparent that you can pick a more affordable product at a time of day, where we know we have capacity, what we call white space that we're looking to fill and do it that way. So you try to have a range of product and what you're looking for is a strong Net Promoter Score, strong guest reviews, strong referral from guests that visit us, telling their friends what a great experience that they had. And that to us is a very important part, and it's just as important as price.
Operator: There are no further questions at this time. [Operator Instructions].
David Barry: All right. Well, thank you, operator. This concludes our 2025 third quarter earnings call. Thanks to everyone who joined today. Please feel free to reach out should you have any further questions, and have a great rest of the afternoon.
Operator: This concludes today's conference call. You may now disconnect.